Executives: Michael P. Dickerson – Vice President and Investor Relations Officer E. James Ferland – President, Chief Executive Officer & Senior Vice President Mary Pat Salomone – Chief Operating Officer Anthony S. Colatrella – Chief Financial Officer & Senior Vice President
Analyst:  Joe Ritchie – Goldman Sachs Tahira Afzal – Keybanc Capital Markets Chase Jacobson – William Blair & Company, LLC Will Gabrielski – Lazard Capital Markets Jamie Cook – Credit Suisse Scott Levine – JP Morgan Steven Fisher – UBS Andy Kaplowitz – Barclays
 : John Rogers – D.A. Davidson & Co. Randy Bhatia – Capital One Southcoast, Inc.  
Operator: Welcome to The Babcock & Wilcox Company first quarter 2012 earnings conference call. At this time all participants are in a listen only mode. Following the company’s prepared remarks we will conduct a question and answer session and instructions will be given at that time. I would now like to turn the call over to our host Mr. Michael Dickerson, B&W’s Vice President and Investor Relations Officer. 
Michael P. Dickerson : Welcome to The Babcock & Wilcox Company first quarter 2012 earnings conference call. I’m Mike Dickerson, Vice President and Investor Relations Officer at B&W. Joining me this morning are Jim Ferland, B&W’s President and Chief Executive Officer, Mary Pat Salomone, Chief Operating Officer, and Tony Colatrella, our Chief Financial Officer. Many of you have already seen a copy of our press release issued last night. For those of you that have not, it is available on First Call and on our website at www.Babcock.com. During this call certain statements we make will be forward looking. I want to call your attention to our Safe Harbor provision for forward looking statements that can be found at the end of our press release. The Safe Harbor provision identifies risk factors that may cause actual results to differ materially from the content of our forward looking statements. Our annual report on Form 10K and quarterly reports on 10Q on file with the SEC provide further detail about the risk factors related to our business. Additionally, I want to remind you that except as required by law, B&W undertakes no obligation to update any forward-looking statement to reflect events or circumstances that may arise after the date of this call. Also on today’s call the company provides non-GAAP information regarding certain of its historical results to supplement the results provided in accordance with GAAP and it should not be considered superior to or as a substitute for the comparable GAAP measures. B&W believes the non-GAAP measures provide meaningful insight into the company’s operational performance and provides these measures to investors to help facilitate comparisons of operating results with prior periods and to assist B&W [inaudible]. A reconciliation of these non-GAAP measures can be found in our first quarter earnings release issued last night and in our company overview presentation posted on the investor relations’ section of our website atwww.Babcock.com.  Due to the number of participants on today’s call I would ask that you limit yourself to one question and perhaps one follow up. You are of course, welcome to get back in the queue. With that, I would now like to turn the call over to Jim. 
E. James Ferland : I’m pleased to be able to report a solid first quarter for the company in terms of revenue and earnings. All of our business units performed well and in line with our expectations. Bookings were also very strong moving our backlog to record levels. As I’ve only been here for a couple of weeks it’s appropriate for me to have Mary Pat and Tony take you through the performance of the business over the first quarter and we’ll get to that in just a minute.  I thought I’d spend a little time describing to you my initial thoughts on coming into the company. At a high level B&W is, as advertised, a solid business with industry leading positions. If any of you have not been through the [investors’] day presentation from September I encourage you to do so as it provides a good overview. As it relates to our government segment I’ve known for a long time that B&W held valuable and important positions as it relates to the US Naval Reactor Program but over the last several years the B&W technical services unit has also set itself apart as an industry leader in management and operation as well as the environmental cleanup of government sites, many with a high consequence nuclear mission. In these two business segments, B&W is well positioned from a competitive standpoint going forward.  In the nuclear energy segment, reentry into the nuclear services market in the US while not without some challenges has been a success combined with a state of the art manufacturing facility and nuclear clean room in Ontario Canada, this business has doubled in size over the last few years. With word of our successful outage work beginning to spread around the industry the emerging opportunities as a result of the aging US nuclear fleet and post Fukushima modifications and my background, we should be able to continue to grow the top and bottom line over the next several years.  The opportunity in the power gen segment as a result of the drive to minimize the environmental impact of coal is providing significant lift in both the power generation group’s backlog and financial results. I was pleasantly surprised by the environmental market projections that I’ve seen. You saw some of the impact of this in the press release issued last night. Today, the power generation group has more than $4 billion in bids outstanding or in progress. More importantly, more than $2 billion of these bids are environmental system and services where we have historically maintained a strong market position.  B&W’s approach allows us to take advantage of our broad product offerings into engineer and design cost effective solutions for each unique customer and site situation. Again, here is a situation where in a competitive market the company is very well positioned. However, despite all these positives, it appears to me that the market is undervaluing B&W as a franchise. If I may elaborate on this for a minute, I think there are a few reasons.  First, are the obvious, normal market considerations like trading patterns of our peer groups, the price of natural gas in the US and others. Then, there are things frankly, which are more within our control such as the investment responsibility and related risk and upside opportunity at mPower which today resides largely with B&W and finding a means to address in a responsible and effective manner the high level of pension funding and expense that is currently running through our financial statements. Additionally, we’ll look at other ways to drive shareholder returns including optimizing B&W’s capital structure and allocation of capital within the company. I don’t have any concrete answers to share with you today but I’m committed to looking at these opportunities to unlock value. I believe we need a broad based approach to value creation. We need to maintain and grow a strong set of diverse business operations as well as a balanced approach to risk and capital asset management.  It’s not my attention to analyze things forever. We’ll study, decide, implement, and move on to the next item. I can assure you that driving growth and shareholder returns are top priorities for me. The last item I want to talk about is our strategy. A turnover at the CEO level always creates a bit of uncertainty. Broadly, I think we’re focused in the right areas. While executing on this strategy the company has put together a series of solid quarters outperforming nearly every step of the way. The company has been executing a strategic plan that is refreshed each fall. It’s too early for me to say whether there’s a need for me to make significant changes in B&W’s strategy but the strategic planning process which will begin shortly will be an area of focus for me and because of its importance will absorb a fair amount of my time. When the process wraps up later in the year, I’ll look forward to sharing the outcome with you. With that, I’ll turn the call over to Mary Pat.
Mary Pat Salomone : Let me start today by describing our performance this quarter and update you on a positive recent development. The company continues to perform very well. Revenues of $765.9 million were up $74.6 million or 10.8% in the first quarter compared to the year ago quarter. This is the sixth quarter in a row of positive year-over-year consolidated revenue growth. This is principally a result of higher environmental bookings over the last three quarters as well as new renewable steam generation systems and nuclear power generation parts, service, and construction projects.  Bookings of $1.4 billion in the quarter resulted in ending backlog of $6 billion and represents an increase of $616 million or 11.5% from the ending backlog at the fourth quarter of 2011 and a 21.4% improvement from the first quarter of 2011. The increase in backlog on a year-over-year basis was driven principally by a 76.6% increase in the power generation segment which Tony will cover in more detail later.  Consolidated operating income for the first quarter of 2012 was $65.7 million compared to $21.9 million in the first quarter of 2011. Included in operating earnings in the first quarter of 2011 were charges related to loss contracts totaling $32.7 million. Excluding the impact of these charges in the prior year, operating earnings in the first quarter of 2012 increased $11.1 million or 20.3% compared to the first quarter of 2011.  The increase in operating income excluding the impact of prior year charges was primarily due to improvements in productivity in the manufacture of naval nuclear components and commercial nuclear down blending in the nuclear operations segment as well as an increase in revenues in the power generation segment.  On the safety front, the company continues to execute to its high standards and has again started the year on a strong note. For the first quarter 2012 the company is reporting total injury frequency rate, loss time case frequency rate, and the cost severity index all below prior levels and better than first quarter 2012 targets.  Before I turn the call over to Tony to talk about individual segment performance, I want o give you an update on some recent positive developments in the Naval Reactor Program. Last quarter we discussed a speech given by Defense Secretary Panetta relating to program procurement changes in future budget years. It is still too early to have any clear indication of the impact, if any, these potential program changes will have on B&W. The process will require discussion, evaluation, and negotiation and will eventually translate into a detailed budget which must be approved by Congress and the President.  Part of that process is playing out now. If you recall, in Panetta’s speech the most significant near term item related to the movement of the procurement of one Virginia Class submarine to 2014 to 2018 maintaining the same total number of vessels over that time period. Recently, the House Armed Services Committee announced that it has decided to provide funding for an additional submarine in 2014. This would essentially fill in the procurement schedule back to two submarines per year. While this is potentially a positive development for our business, ultimately we will not know with certainty until the budget for the government’s fiscal year 2013 is finalized. With that, let me now turn the call over to Tony who will take you through the results of each of our business segment and other financial metrics.
Anthony S. Colatrella : Revenues in the power generation segment of $414.3 million for the first quarter of 2012 increased $58.1 million or 16.3% compared to the $356.2 million reported in the first quarter of 2011. This result was principally due to increased new build environmental projects as well as biomass and waste to energy new build power generation boilers and auxiliary systems.  Revenues in our aftermarket parts and service business increased 6.6% sequentially compared to the fourth quarter of 2011 but were down 3.5% compared to the first quarter of last year. This increase in sequential aftermarket parts and services which was primarily attributable to the US base coal power generation fleet, occurred at the same time that natural gas prices declined by roughly 30%. While this sector of the business has performed well, it is likely that prolonged gas prices below the cost of production may adversely affect the long term growth profile of this sector of the market, particularly in small consumable parts which represent less than 10% of the power generation segment revenues. Revenues from new build and burn out systems and services increased 96.5% in the first quarter 2012 compared to 2011 while new build steam generation systems primarily from the renewable market, increased 43.3%. Operating income in the power generation segment including the equity income from our global joint ventures was $28.0 million in the first quarter 2012, an increase of $1.4 million or 5.3% compared to first quarter of 2011. The year-over-year increase in operating income was primarily due to stronger new build environmental and steam generation margins resulting from higher volume partially offset by an expected reduction in equity income contributions from the company’s China joint venture and start up costs related to our new India joint venture. Bookings in the first quarter in the power generation segment were $1.1 billion resulting in backlog of $2.7 billion an increase of 36.2% from the end of the fourth quarter 2011 and an increase of 76.6% from Q1 2011. First quarter bookings including $676 million for the design, engineering and construction scope of the West Palm Beach Waste Energy Plant award announced last year as well as the related long term operations and maintenance contracts.  Environmental bookings during the first quarter were $249 million compared to just $30.6 million in the first quarter 2011 continuing a positive year-over-year trend in the environmental equipment and systems market that started in mid 2011. We continue to experience robust bidding activity and believe we will continue to realize strong booking levels in subsequent quarters.  The nuclear energy segment reported revenues of $86.6 million in the first quarter 2012, an increase of $21.3 million from the first quarter 2011. This increase in revenues is primarily due to increased levels of nuclear utility outage services due to the variable nature of the nuclear utilities outage schedule and a reactor service project as well that carried over from the fourth quarter. The nuclear energy segment operating loss or $60.8 million in the quarter includes R&D and SG&A related mPower costs of $27.9 million of which $3.6 million is non-cash non-deductable in kind R&D expenses incurred by the minority partner of Generation mPower which are, as we’ve mentioned before, consolidated on the books of B&W. Excluding these mPower related costs, operating profit for the nuclear energy segment which includes the manufacturing of nuclear components and nuclear services and projects was $11.1 million for the quarter. Nuclear operation segment revenues of $250.2 million were essentially flat compared to the $250.5 million we reported in the first quarter 2011. This slight decline in revenues within the segment for the quarter when compared to prior year are the result of improvements in year-over-year manufacturing efficiency and expense management. This results in lower billings to our customer as we share these efficiencies with them.  At the operating income line you will see that these efficiencies have translated into higher earnings and margins over the last several quarters. Nuclear operations operating income was $48.0 million in the first quarter of 2012 representing an operating margin of 19.2%. This compares to $30.4 million in operating income and a 12.2% margin in the first quarter 2011. In the first quarter 2011 the nuclear operations group earnings were burdened by approximately $11.1 million related to contract adjustments to loss position down funding contracts at our wholly owned subsidiary Nuclear Fuel Services that have since been completed. Excluding the impact of these prior year charges operating income increased 15.5% in the first quarter 2012 compared to the first quarter 2011. Backlog in nuclear operations was, as expected, down slightly on a sequential basis. In the quarter we did book a new $130 million contract for the design and engineering of advanced reactor components for the Virginia Class Submarine Program. The nuclear operations segment ended the quarter with a backlog of more than $2.9 billion. Technical services segment revenues of $25 million decreased $3.4 million in the first quarter of 2012 compared to the corresponding quarter of 2011 due primarily to the lower level of spending on the American Centrifuge Project as compared to the prior year. Operating income of $14.6 million increased $2.5 million or 20.7% in the first quarter 2012 compared to the first quarter of 2011. This increase in operating income is due principally to the ramp up of new environmental remediation, decontamination and decommissioning contracts. Let me touch on our balance sheet and cash flows. During the first quarter the company made pension contributions of $91.6 million which when combined with the timing of 2011 incentive compensation payments resulted in a cash usage from operating activities of $103.2 million during the first quarter of 2012. The company’s cash and investments position net of debt was $418.7 million at the end of the first quarter 2012, a decrease of $125 million compared to $543.7 million at the end of the fourth quarter 2011. In addition to net cash the company maintains a $700 million revolving credit agreement which had approximately $483.8 million of availability as of the end of the first quarter. The company believes is maintains adequate liquidity to fund operations which include increased working capital requirements, internal growth and R&D programs, as well as additional product and geographic expansion. Due to favorable market conditions, we are currently in the process of amending and extending our credit agreement and subject to market conditions expect to complete this process during the second quarter of 2012. Finally, I want to call your attention to an update to our commitments and contingencies as noted in our Form 10Q which was filed last night with the SEC. As you know, B&W has been engaged in a mediation process with Energy Northwest with respect to the Columbia nuclear condenser project from last year. I’m pleased to report that we have reached an agreement in principal and subject to ratification by Energy Northwest’s executive board at a meeting scheduled to be held today. This would result in a lump sum payment to Babcock & Wilcox Nuclear Energy Incorporated. Let me now turn the call over to Jim for some final remarks.
E. James Ferland : I want to thank the team for a strong first quarter. The transition is much easier with positive news and strong performance to report on this call. It’s certainly a pleasure to be taking over a well run and top performing organization. I look forward to meeting and working with all of our analysts, shareholders, and perspective shareholders. To reiterate some of my earlier comments, maintaining strong safety and operating performance in all of our markets and maintaining focus on solving the complex issues faced by our customers with innovative solutions is important to unlocking value for B&W. But I also believe there are other actions we as a management team can take, as I described earlier, to unlock value for our shareholders and we will evaluate and run to ground each of those initiatives. That concludes our prepared remarks. I will now turn the call back to the operator who will assist us in taking your questions.
Operator:  (Operator Instructions) Your first question comes from Joe Ritchie – Goldman Sachs.
Joe Ritchie – Goldman Sachs: I’ve got one comment and then two questions. Jim, I know it’s early so we definitely appreciate your thoughts on what you’ve seen so far at B&W and the potential initial levers you can pull to help unlock shareholder value. We’re looking forward to hearing a lot more about that in future discussions. But, moving on to my question, the first question is on the bids outstanding. You’ve got $4 billion in bids outstanding today, that seems like a material uplift based on where you guys have been over the last three to six months. If you could maybe provide some color on how that has trended over the last six months and then in particular on the emissions awards if you could comment on the pace of emissions awards because they seem to be surprising to the upside, at least from our perspective. We’d love to hear a little bit about that.
Mary Pat Salomone : In response to that I think that our bids outstanding in the first quarter have definitely uplifted from where they have been so that’s really a positive. What’s driving that is there’s definitely regulations, we talk a lot about [CASPER], we talk a lot about [MATS], but there are other regulations driving utilities to install environmental equipment in addition to that and so we do have a portfolio there of technologies that provide customers a range of choices to deal with their particular challenges and so we are finding those choices to be very beneficial in this whole environmental surge here. It is difficult to predict bookings quarter-by-quarter and so I think overall we expect the 2012 environmental bookings to be higher than the 2011 environmental bookings and we really thinks this represents significant opportunity.
Joe Ritchie – Goldman Sachs: I guess really on the pace it was interesting from recent discussion that we’ve had, it seems like the second half of the year – the awards were going to be more back end weighted for the emissions cycle for 2012 and yet you start off the year with $250 million and so is that still your expectation that the awards on the emission side are going to be greater in the second half than they are in the first?
Mary Pat Salomone : We continue to see continued build up there and continued driving – I think we had anticipated there might be a slowdown in the first half of the year due to what was going on with [CASPER] and the utilities reevaluating. Again, as I said, there’s a lot of things driving the environmental work beyond just [CASPER] and so we continue to see that move forward.
Joe Ritchie – Goldman Sachs: Then I guess just one follow up question on the margins, particularly on the government ops segment, really strong this quarter well above call it normalized levels, was there anything one time that benefitted the quarter and how should we be thinking about the trajectory of those margins going forward?
Mary Pat Salomone : There was nothing specific that drove the first quarter in the nuclear operations group. I think in regards to our entire government portfolio, we believe that we expect, as we told you before, relatively constant earnings as compared to the 2011 record level earnings that we achieved.
Operator:  Your next question comes from Tahira Afzal – Keybanc Capital Markets.
Tahira Afzal – Keybanc Capital Markets: My first question is really in regards to the margins on the power side. You’ve seen strong bookings, it seems incrementally the momentum there is generally better than you thought so qualitatively can you just talk a bit about how we should be thinking about the power margin trajectory going forward? Then I have just one more follow up.
Mary Pat Salomone : Quarter one is seasonally a lower margin quarter than other quarters typically are. Last year we also had some pretty favorable project closeouts in the first quarter as well. Again, as we’ve said before, we expect pretty flat margins compared to 2011 over the year but clearly, the revenue is up so the contribution is going to be up so that drives the numbers higher. Our target margin going forward is still in that 7% to 10% range that we have told you before and so I think that’s our expectation then.
Tahira Afzal – Keybanc Capital Markets: I have two follow ups, Jim first of all you’ve had a lot of experience with a very established firm on the nuclear side, as you look at mPower and I know Westinghouse has recently jumped into the [fill] on the small modular reactors side as well, can you talk as you’ve come into BWC and you’ve examined mPower what you think is its really key advantages are in terms of technology to the extent you can, that really put it ahead of some of its peers perhaps? Then if you could talk about some of the opportunities that are in the marketplace in the US and internationally, and we’ve been hearing a little bit more about Europe and coal retirements there and the potential market for [SMR]? I would love to get your thoughts there.
E. James Ferland : I’m going to be a little bit careful on the technology question just as you said, given my background. I will say about mPower, B&W is clearly committed to that and we have some very talented resources that are working both on the commercial business side and on the technology side of mPower and I’m impressed with the company’s efforts on that front. But, I’m probably going to leave it at that as far as direct comparisons. Market opportunities in my view are many for mPower. Obviously, we tend to think first in the US where I think there are some market opportunities in the next few years. I think the concept of [SMRs] plays well though all around the world and I see significant opportunities, to some extent in Europe, and more so in primarily in the developing countries in Asia. I think there’s an awful lot of upside opportunities for [SMR] certainly in China and to some extent in India and you’ll see over the next couple of years our focus intensify in those parts of the world as we look to develop those opportunities.
Tahira Afzal – Keybanc Capital Markets: A quick last question, really on the Virginia Class Submarines, the scope increase do you think you can comment what that was driven by? The original Panetta plan that came out earlier talked about potentially increasing the scope of Virginia class submarines to accommodate for missiles. Would that potentially mean larger scope if that proposal goes through?
Mary Pat Salomone : I think what you’re referencing is the contract that we just announced. That’s really new technology and some components for future Virginia Class Submarines so that’s what that’s related to, an exciting opportunity for us there. With regard to the other changes in the missiles compartments for Virginia Class, that doesn’t really affect the base reactor compartment at all and so therefore there’s no real change to the submarines and to our scope of the work for the subs.
Operator:  Your next question comes from Chase Jacobson – William Blair & Company, LLC
Chase Jacobson – William Blair & Company, LLC: I just wanted to follow up on the question about the bid pipeline. In the press release you talked about $4 billion of bids outstanding, I think that’s up from about $3 billion the last several quarters and you mentioned that $2 billion was related to bids around [ETR] regulations. Of the other $2 billion can you just give us some type of sense of what types of projects are included in there and if any of that is similar to the service contract that you announced this quarter?
Mary Pat Salomone : Yes, there are some similarities to the contract that we announced this year in that there are other waste to energy type contracts that we are looking at in the US and in Europe. So there’s some similarities, not anything of the magnitude of the West Palm Beach project so with regard to that. I mean, the other large portions of outstanding bids relate to new themed generation type systems primarily outside of the US.
Chase Jacobson – William Blair & Company, LLC: But is it coal related or is it other waste energy projects? Any color on that?
Mary Pat Salomone : It would be both. Again, the waste energy in the US as well as outside, coal outside the US.
Chase Jacobson – William Blair & Company, LLC: Then when you look kind of beyond that you did mention that the cheap natural gas could change the longer term growth profile of the business. Are you pretty confident when you look beyond the $4 billion of bids outstanding that you could replace that with new bids in the coming quarters?
E. James Ferland : When we look long term – let me just talk through a couple of things that we think about. Number one, low gas prices certainly does have an impact on our business. We mentioned earlier the fact that when gas prices are low the gas plants run and the coal plants run a little bit less that has a relatively small impact on us but it does reduce our aftermarket services and parts business a little bit. In the short to medium turn in the PPG business though, that is more than offset by a relatively large magnitude of environmental upgrade projects that we see coming. The low gas price has an impact on our business, relatively small, but the upside opportunity on the environmental is very large.  When we look to the future, and we along with everybody else, do our best to project what gas prices will look like, certainly they’ll have an impact on the goal business in the US but not that large. We project a relatively small number of coal units coming offline a little bit more than we had projected last year obviously, but the great bulk of the coal units today, including the larger units remain online in our projections for 15 to 20 years and we don’t expect that to change. We’re also seeing in the US some units begin to switch from coal to co-generation where it’s a combined coal/gas or just gas firing opportunity. That actually means more business to us as those units potentially switch over. If you look worldwide, obviously natural gas prices in the US are not reflected in the rest of the world, in Europe, or in Asia that way and we continue to see a robust business for PPG on the coal side, particularly in Asia.
Chase Jacobson – William Blair & Company, LLC: Just one other question on ACP, I know it’s a pretty small part of the business now, it’s a larger opportunity. It looks like that’s going to be slowing down a bit. Are there any actions that B&W is taking in terms of cost cutting to offset the slowdown in revenue from that project?
Mary Pat Salomone : We’re already at a very low level of spending. That has all been accomplished, that slowdown really started last year and so we’re at a very low level of spending on the ACP project. So I think we remain committed to that program and we remain hopeful that USEC is going to be able to obtain the funding to complete its research and development and research design and development program that they have been pursuing and that we can continue to support them there.
E. James Ferland : Just a note, if USEC is successful on that front and I know they’re working very hard to make that true obviously, we would ramp efforts back up on the ACP manufacturing side.
Operator:  Your next question comes from Will Gabrielski – Lazard Capital Markets.
Will Gabrielski – Lazard Capital Markets: Within the government equity income line the number was up year-on-year and maybe you could just go back and talk about what drove that? Then going forward through the rest of the year what type of run rate you’re maybe thinking about now?
Mary Pat Salomone : In terms of it was up over last year because of the first quarter last year because of the new decontamination and decommissioning contract that were awarded in the later part of 2010 and early part of 2011. Those, we have been going through a transition process and we’ve taken those over and those are ramping up so that’s what you start to see – that’s what’s driving the numbers on the technical services group. Again, I think our projection is that for the government services group the government group combined constant levels with last year. 
Will Gabrielski – Lazard Capital Markets: Can you talk about the power margin and how much duration is left on some of the early wins you had in environmental that you called out in the queue as maybe impacting the margin to the downside?
Mary Pat Salomone : Contract durations are typically 24 to 36 months. 
Will Gabrielski – Lazard Capital Markets: Is there a crossover point in that business maybe on revenues where you see a little bit of inflection whether it’s just on better utilization of your assets maybe in dollars that that margin could begin to rebound a little bit?
Mary Pat Salomone : Yes, next year we expect that will – again, we’re expecting higher margins as we get further into that cycle by all means.
Will Gabrielski – Lazard Capital Markets: As you’re bidding projects now are you starting to see better margins come through on what you’re winning versus a year ago?
Mary Pat Salomone : In some cases.
Will Gabrielski – Lazard Capital Markets: Lastly, on the capital allocation and the balance sheet, I’m just wondering if there are any updates? Maybe a little more granular thoughts around what you guys are considering at this point or when we might hear something around that?
E. James Ferland : Not today. The point, the real message I was trying to get across was we think there are some opportunities and we’re going to look hard at them and once we make some decisions we’ll get out and we’ll communicate it to you folks.
Operator:  Your next question comes from Jamie Cook – Credit Suisse.
Jamie Cook – Credit Suisse: Two questions, one just I appreciate the color on the potential switching from coal to gas and what the implications are for your revenue. Just the 10% is that as of today? Can you talk about how that fluctuates throughout the cycle and what the profit contribution is because I would assume it’s higher, much higher than the sales contribution? Then my second question, sort of back to the margin question on the omission side, can you just talk about your win rate right now is it better, worse, or in line with historic levels because it did sound like previously you guys thought you wouldn’t win as much in the beginning because you tend to be more disciplined so I’m just trying to get a sense from that point of view as well how quickly capacity can tighten in the industry.
Anthony S. Colatrella : I think you’re referring to the aftermarket business in PPG?
Jamie Cook – Credit Suisse: Yes, sorry.
Anthony S. Colatrella : I just want to make sure we’re on the same page. With regards to that there is some variability in the aftermarkets business depending obviously on how heavy utilized the coal fleet is. The variability though again, because it’s only 10% of PPG’s revenue in round numbers, is not that substantial. That said, it is of course one of the contributors to our profit stream and it did have an impact in the quarter more than offset by the upsides we saw elsewhere but not a substantial impact.
Jamie Cook – Credit Suisse: But how much larger is the profit contribution relative to the top line? Do you know what I mean? I understand the 10% on the revenue but again the contribution on the margin or the profit I assume would be much higher?
Anthony S. Colatrella : It’s a little bit higher but we’re not going to get into the specifics of that on the call. 
Mary Pat Salomone : With regard to the hit rate on the environmental project, we’re tracking to the historic hit rate and our historic market share there. I think one of the things that we’ve done very well in this cycle is we’re targeting customers and projects that really fit our sweet spot and so that has proven to be pretty successful for us starting out.
Jamie Cook – Credit Suisse: Just because the award pace has moved much quicker I think that I thought and some other people thought, are there any concerns out there or when do you expect there to be concerns from utilities that that capacity in the overall industry starts to tighten or are we just too far away for me to be even worrying about that yet?
Mary Pat Salomone : I’d say it’s early yet to be worrying about that.
Operator:  Your next question comes from Scott Levine – JP Morgan.
Scott Levine – JP Morgan: On the nuclear energy side it looks like you guys benefitted from a strong quarter on outage work and I’m wondering whether there was any trend to find from that and what your expectations maybe are for that level of work going forward and thoughts with regard to seasonality and helping us model your quarters correctly for that particular business?
E. James Ferland : We did have a good first quarter. What you’ll find in the commercial nuclear segment is the outages obviously run on mostly 18 month cycles, occasionally 24 month cycles, so it is going to vary up and down for us as we break into this outage services market in the states. So number one it’s going to be variable. Number two, we have a relatively small market share today although we performed very well on the jobs we have done on the outage service side so that will also make it variable but it also provides some mid to long term upside opportunity for us.
Scott Levine – JP Morgan: Maybe as my follow up here, with regard to the environmental pace of bookings you see proceeding the next few quarters and years, how much of a factor is the outcome of the [CASPER] dispute and also the election cycle and any outcome of that election cycle? In your view are those material factors potentially in terms of utility spending behavior or more non-events really in your mind?
E. James Ferland : We’re clearly watching both of those going forward. As Mary Pat said before, we look at [CASPER] and [MATS] but there are a lot of drivers that utilities consider when they get ready to make big investments like this. [CASPER] in the east side of the US drives SCR and FGD work for us so the faster [CASPER] progresses the faster that type of work will come out for us. As far as the election cycle goes, it could have an impact. If you step back and look at it there is a general trend in the US towards stricter environmental regulations. It’s happening slowly and the speed at which we move in that direction does vary a little bit depending on the election cycle and the administration that’s in power but regardless of who is in power, it’s our belief that that environmental push continues to the right and that would be more and more of a factor going forward. So we see upside market opportunity regardless of who wins and what the outcome looks like in November.
Operator:  Your next question comes from Steven Fisher – UBS.
Steven Fisher – UBS: Just a follow up on that last question on nuclear energy, I’m wondering what the pipeline of potential nuclear energy services projects look like at this point? Do you have a bid slate in that market or do you have to wait for the multiyear contracts to come up and then you get access to those outages every 18 months or so?
E. James Ferland : Just off the bat, those are relatively small contracts in the big scheme of things and the utilities do tend to bid them out in groups over time so they’ll come out going forward. Obviously, we’re happy with the technology we have. We think it’s performed well relative to the competition in the marketplace but that does not mean immediate work for us. Nuclear, by its nature, is relatively cautious and they want to see us perform and they always want to see as we continue to increase our work load that we have time to staff up on the technology and people side. So I think we’re well positioned. We have a small market share which is good because we can improve it but you’re not going to see a dramatic increase in the near term on that front but we do see a lot of upside opportunity in the long run.
Steven Fisher – UBS: NFS seemed to be a year-over-year swing factor in profitability in the nuclear operations so I guess I’m just wondering how that business is performing and how much profit it is generating relative to its potential and then how you see it maybe being able to see whatever the potential is over the next couple of years?
Mary Pat Salomone : NFS has had four solid quarters of really good performance in particular on the commercial [down] blending operations which had initially created some of the losses. I think the good news going forward is that we are working off those loss contracts that we inherited and knew we were getting when we bought NFS and so we’re moving into more profitable work there as we move forward.
Steven Fisher – UBS: Maybe just quickly, can you quantify or give any color on how material the cash payment related to Energy Northwest is going to be?
Anthony S. Colatrella : No.
Steven Fisher – UBS: Less than the charge?
Anthony S. Colatrella : As we said, we’re under some confidentiality restrains in the agreements we have in place. We’re expecting an Energy Northwest board meeting today and once we have information we’ll go ahead and put it out.
Operator:  Your next question comes from Andy Kaplowitz – Barclays.
Andy Kaplowitz – Barclays: If I could just follow up on Jamie’s question maybe in a slightly different way. You mentioned that small consumable parts are less than 10% of the business but parts and service overall are quite a bit larger than that, maybe 30% to 40% of the business, you guys tell me, but I’m just trying to think about overall sensitivity to your business. If say US coal production is down 10% is it fair to say that your business could be down commensurate with that or am I not thinking about I right?
Mary Pat Salomone : I think what you have to think about is that a lot of the units that are retiring are referred to as the small dirty that the utilities have not invested lots of money into in the past and so they’re not units that we were getting lots of revenue or earnings from. So when you look at the fact that – we project that there will still be more than 250 gigawatts of coal in the base there’s still an awful lot of service work and parts that are going to need to be provided.
Andy Kaplowitz – Barclays: So basically the way you’re answering my question is if we were down 10% you’d be down a lot less than that, fair?
Mary Pat Salomone : That’s right.
Anthony S. Colatrella : And in the long run we’ll look obviously to expand that business overseas and make that back up.
Andy Kaplowitz – Barclays: The Chinese joint venture, I mean you talked about it being down this year, so it is well telegraphed, can you talk about what your guys are telling you about this business right now? Is it stabilized at a low level, is it still getting weaker? How do we think about that business?
Mary Pat Salomone : I think it’s definitely stabilized and we did see some improvement in the bookings in the first quarter. We still do expect it to be lower than it was last year but we have seen some improvement there. Again, the other drivers, just to be clear, the driver to the equity income drop year-over-year is not just from China, it’s also from the contributions that we’re making to the start up of the India joint venture which is construction of that factory in Poona is progressing very well. We expect to finish that construction in the third quarter of this year.
Andy Kaplowitz – Barclays: Jim, you’re going to tell me it’s too early but I’m going to ask it anyway, are there any easy wins on mPower or pension that you see to cut costs a little bit? Is there anything that is maybe low hanging fruit? I know you are going to tell me that it’s too early.
E. James Ferland : It is a little bit early. What I will tell you on mPower is obviously I like the opportunity. One of the things we’re looking hard at over the next few months and we’ll communicate out to you guys when the time is right, is we’re looking at the business model inside mPower. There are many different ways for companies to play in a new power plant like that. You have EPC, you have manufacturing, you have fuel, and you have long term services. Each of those represent a potential value stream for us and we’re looking hard at where do our core competencies best match with those potential value streams and then overtime we’re going to focus in those areas. I do think you’ll see some small changes in our approach going forward and as we get that ironed out and it becomes crystal clear to us we’ll make it crystal clear to you.
Operator:  Your next question comes from Martin Malloy – Johnson Rice & Company.
Martin Malloy – Johnson Rice & Company:  Could you talk about the DOE SMR program and the timing of that and when you might hear something on an award there? One of your peers suggested September, as early as September they might hear.
Mary Pat Salomone : The application is actually due to be submitted by the 21st of May so we’re in the final preparation process right now of that application and we would expect a decision in the third quarter.
Martin Malloy – Johnson Rice & Company:  With regards to USEC and the $43 million that you’ve got invested there, at what point do you try to get your money back and how do you go about doing that?
Anthony S. Colatrella : Let me just say – I’ll reiterate really what was said earlier by Mary Pat, we made this as a strategic investment in USEC and focused on the long term viability importance of the American Centrifuge Program. As you would expect, we regularly review the carrying value of all our investments including the $43 million you just referred to which is our preferred equity investment in USEC and we’ve done so again this quarter. We’re comfortable at this time that USEC is a growing concern and accordingly we believe we’ll recover the full value of our investment. And so we’re not going to speculate on the possibility of a bankruptcy or any other changes with respect to USEC. We’re comfortable with where our investment is today. We continue to monitor the situation and we’ll continue to do so as we move out into time and I think there’s really not much more we should or can say on that right now.
Operator:  Your next question comes from John Rogers – D.A. Davidson & Co.
John Rogers – D.A. Davidson & Co.: Jim, in terms of your earlier comments just about strategy and I’m not sure what you can say on this at this point but B&W has got a pretty diverse portfolio but it’s still concentrated along the coal side and I’m just wondering as you look at nuclear versus the renewable versus possibly the gas fired, what are you thinking about the portfolio on the power side? Are there places you’d like to add to that? And also the balance between government work and the private sector?
E. James Ferland : Well, I’ll say a couple of things, right now I very much like the portfolio that we have today it’s obviously performing very well for us. I think it is nicely balanced between a couple pretty stable businesses on the government side that we have a lot of expertise in and that we perform pretty well on and I think we’ll continue to do that going forward. I like the government businesses.  On the commercial side, clearly we have a very strong play in coal and a relatively strong play in nuclear. I like both of those and part of our job there is to diversify internationally. Just because coal may have a small decrease in the states doesn’t mean that can’t be a solid and growing business for us in the years going forward. As far as overall diversification renewable are an option as well, we do want to leverage our core competencies in the power sector and gas, I think, is also an opportunity for us in the long run. So we’ll look at all of those in the current months and we’ll also look for ways to leverage our other core competencies on technology and people and see if there are perhaps some markets tangential to the ones we’re in today that might provide some upside for us.
John Rogers – D.A. Davidson & Co.: Just as a follow up, maybe for Tony or Mary Pat, in terms of the power generation business and if this is in the Q I’ll get there, you mentioned in the environmental business up 96%, steam generating up 43% but could you walk us through the other segments or components of that that get you to the 16% revenue growth?
Anthony S. Colatrella : I’d have to go back and look but those might have been bookings numbers.
John Rogers – D.A. Davidson & Co.: Okay, that was all bookings?
Anthony S. Colatrella : Yes.
Operator:  Your next question comes from Randy Bhatia – Capital One Southcoast, Inc.
Randy Bhatia – Capital One Southcoast, Inc.: If I could just to follow up a little bit on one of the questions that was asked earlier on power gen margin expansion, I think at your analyst day last fall you had specifically said when revenues get to around $1.9 to $2 billion in that segment that was when cost absorption would take place and we could see some ramp in margins. Are those numbers still fair and should we still be thinking about it in that $1.9 to $2 or is it a little higher than that now?
Mary Pat Salomone : I think relatively in that $2 billion or higher range is where we would expect to see that occur.
Randy Bhatia – Capital One Southcoast, Inc.: And you’re saying that’s more of a ’13 event not ’12?
Mary Pat Salomone : Right.
Randy Bhatia – Capital One Southcoast, Inc.: Then if I could just one more along the same lines, in your Q you mention that you’re seeing some higher than expected competition in new build environmental. Could you just comment a little on that in terms of what sort of impact that’s having on the margin in the first quarter and then whether or not you’re seeing any new faces in the competitive environment given the staggering market opportunity that this is?
Mary Pat Salomone : From the same point new faces, the faces that we’ve seen primarily out there in the environmental is pretty stable. I don’t think that we’ve necessarily really seen any new faces in a large way anyways. In terms of the margin impact on the first quarter again, as we said, some of the margins early on were lower you’re seeing some of that in the first quarter but it’s really just all part of the cycle.
E. James Ferland : And absolutely by the way in line with our internal projections.
Mary Pat Salomone : Yes, absolutely.
E. James Ferland : Let me just step back one moment to John Roger’s earlier question, those are revenue numbers if you break down power gen revenues on a quarter-over-quarter basis compared to 2011 new build environmental and new build steam generation systems were up significantly year-over-year but the biggest part of that business today, aftermarket services collectively was down on a year-over-year basis although it was up sequentially as Tony mentioned earlier. That’s how we get to a net 16%. That entirety aftermarket services which was very strong in the first quarter 2011 was down about 8% year-over-year.
Operator:  There are no further questions. I would like to turn the call back over to Michael Dickerson.
Michael P. Dickerson : Thank you everybody for joining us this morning. That concludes our conference call. A replay of which will be available for a limited time on our website later today. I’ll be around my office the rest of the day if anyone has any follow up. Thanks everybody and have a good day.
Operator:  Ladies and gentlemen that concludes today’s conference. Thank you for your participation. You may now disconnect and have a great day.